Operator: Good morning. My name is Kanika. I would like to welcome everyone to the JetBlue Airways Fourth Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Director of Investor Relations, Kevin Crissey. Please go ahead.
Kevin Crissey: Thanks, Kanika. Good morning, everyone, and thanks for joining us for our fourth quarter 2015 earnings call. Joining us here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP Commercial & Planning; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-K, 10-Q and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP financial measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes: Good morning everyone and thank you for joining us. Earlier today we reported strong results for the fourth quarter and full year 2015. In the fourth quarter net income was $190 million or $0.56 per diluted share. For the full year net income was $677 million or $1.98 per diluted share. On a year-over-year basis excluding the after tax gain from the 2014 sale of LiveTV, our net income more than doubled. These strong results were made possible by the outstanding performance of our 18,000 crew members who continued to deliver extraordinary service during our busiest year ever where we carried a record 35 million customers. I truly believe we have the most dedicated and talented crew members in the industry. Last Sunday our crew members terrific job during winter storm Jonas enabled JetBlue to be first airline to get customers off the ground at both JFK and LaGuardia. On behalf of the entire leadership team I want to express my sincere gratitude to all of them. In 2015 total revenues grew 10% year-over-year reflecting solid underlying demand in our network and the successful execution of fare options. Fare options enables our customers to select one of the three fares based on what they value most such as number of checked bags, TrueBlue bonus points, or the ability to adjust and change their travel plans. Operating expenses decreased 2% year-over-year, driven by a continuing lower fuel price environment. In 2015, our full year average fuel price per gallon was $1.93, down nearly 36% from $2.99 in 2014. Our 2015 operating margins was 19%, an improvement of more than 10 percentage points. Our network plans continued to payoff. This is best reflected by our unit revenue and operating margins which move faster than the industry average in 2015. The network is well balanced and all of our focused cities produced healthy margins. We are particularly pleased with our performance in Fort Lauderdale, our fastest growing Focus City where profitability levels continued to exceed our expectations. Additionally our Boston Focus City continues to grow while producing strong results. By next summer, we would expect to offer 140 daily flights in Boston. We remain excited about Mint's financial performance and the feedback we get from our customers. In the fourth quarter we started additional frequencies from New York to Los Angeles and San Francisco. We also launched Mint service from New York to the Caribbean with seasonal service to Aruba and year round service to Barbados. Looking ahead we are thrilled to bring Boston Mint Service. We are planning -- we plan on commencing Boston San Francisco on March 24th and seasonal Mint service from Boston to Barbados on March 25th. We intend to launch Mint service to Los Angeles from Boston later in 2016. Once fully ramped we plan to offer up to three daily Mint flights from Boston to both San Francisco and Los Angeles. We applaud the decision made by the U.S. government and the Cuban authorities to allow scheduled air service between the two countries to begin for the first time in half a century. We believe our brand and product will resonate very well for travelers to and from Cuba. We expect our long standing experience in charter flights to Cuba and our successful history in the Caribbean markets will position us very well to be the carrier of choice in Cuba. We are currently awaiting the ratification of the agreement and the initiation of the route application procedure by the USDOT. This is an exciting opportunity and we look forward to announcing regular service as soon as possible. We continue to be very pleased with the results from fare options. Specifically we exceeded our 80 million operating income target and believe we’ll achieve a $200 million run rate in 2016, one year ahead of our original plan. I am very proud of all of our crew members who successfully embraced this very significant change while preserving our industry leading customer service. Another highly anticipated change is our upcoming cabin restyling. After extensive collaborative work with Airbus and our frontline crew members, our first restyled aircraft will enter service in the second half of 2016. Our new innovative cabin will improve our customer experience and our bottom line. Marty will provide details about this program very shortly, which is expected to generate incremental annual operating income of a $100 million upon completion in 2019. Let me now highlight our operation, our operating performance. Most major operating metrics improved year-on-year in 2015. On time performance measured by systems arrivals within 14 minutes of scheduled time or A14 improved 0.4 percentage points to 77.5%. Despite a 1% higher aircraft utilization, our completion factor improved 0.8 percentage points to 98.6%, driving asset and cost efficient available seat miles. I am particularly proud of our operational performance during the year-end holidays. Holidays are special time of the year for our customers and getting them to their destination safely is an absolute priority. Between December 21 and January 4 we have the highest completion factor of any U.S. airlines. In fact during that 15 day consecutive peak day period with an average of 963 daily flight we did not cancel a single flight. I want to thank all of our crew members for this incredible achievement. As we approach our 16th anniversary, our success continues to be built upon our unique culture and our talented and inspiring crew members. So to recognize these and other amazing efforts I am delighted to announce 2015 profit sharing of approximately $150 million. That’s equivalent to about two months pay for fulltime crew members. Mark will provide you greater details about this benefit and its financial implications. Our efforts in 2015 including strong revenue performance, successful execution of fare options, cost control, efficient use of capital and debt reduction resulted in a significant improved return on invested capital. In 2015 we delivered an after tax ROIC of 13.7%. In closing we are very happy with our 2015 results and look forward to an even better 2016 as we continued to execute on our return accretive initiatives. I’ll now turn the call over to Marty to provide more details on our results.
Marty St. George: Thank you, Robin. Good morning everyone, thanks for joining us. Demand in 2015 was sound across our network. Passenger unit revenue or PRASM increased 7/10th of a percent on capacity growth of 9.5%. Our industry leading revenue performance was a result of the maturation of the network. Limited exposure to both softer global markets and unfavorable currency exchange rates and the incredible efforts from our crew members who consistently deliver an amazing JetBlue experience day in and day out. In the fourth quarter PRASM decreased 1.9% on capacity growth of 10.4. Like other carriers we experienced some yield pressures towards the end of the quarter. This was driven by a longer December traffic period through the timing of year-end holidays and its implications on score calendars. Mild winter weather in the northeast also impacted demand for our leisure sun destinations during our off peak traffic days. Nonetheless we are thrilled with our growth and financial results in the fourth quarter. Although PRASM growth did decline, our profits what we are truly managing towards were very healthy. Mark will provide you with details on our operating margin performance. Our performance is very well balanced across the network. A sound demand across all regions. We continued to see strong customer demand from Mint which led to a fare increase earlier this month in New York to Los Angeles and San Francisco. As Robin highlighted, fare options performed ahead of expectations. As a result other revenues grew year-over-year and the fourth quarter by $37 million or 31%. Fare options outperformance was driven by a high up sell percentage and more paid checked bags than originally forecasted. We're very excited about the upcoming launch of our new program relationship with Barclay card on the MasterCard network. This is scheduled for later in the first quarter of 2016. Although we still cannot share specific details of the agreement, we are very pleased with its structure, improved economics and customer features. At steady state we continue to expect annual incremental operating income benefits from the new agreement of $60 million. Stay tuned for our marketing campaign announcing this launch. We believe this co-brand relationship was our promising conversion rate from existing card holders as well as significant new member sign ups. I’d now like to provide some more detail regarding our cabin restyling program, which we expect to roll out in the second half of 2016. As we announced earlier this week, we plan on introducing Airbus’s innovative galley and lavatory module on our all-core A321 starting in July, freeing up valuable onboard real estate on this popular and successful aircraft. We expect all-core A321 new deliveries to arrive with 200 seats, and our current all-core A321’s to be retrofitted from 190 to 200 seats by the end of 2016. Our NPS data shows that customers love the experience on this aircraft and we are pleased to use it as a model for our A320 cabin restyling. Starting in 2017 we anticipate reconfiguring our A320s to provide customers with new seats, larger TV screens with over a 100 channels of DirecTV, free gate-to-gate WiFi, and of course the most leg room of any airline. We plan to reconfigure our A320 aircrafts with 162 seats, which is down three seats from our prior announcement made in November 2014 to make sure we continue to offer our best possible products and service. As Robin mentioned, we continue to expect the cabin restyle program to generate $100 million of incremental annual operating income upon completion of booked fleet types in early 2019. For more specific details regarding our fleet and cabin restyling program, please refer to our investor update which was filed with the SEC and made available on the Investor Relations section of JetBlue’s website prior to the start of this call. Reflecting the increased proportion of revenues attributed to fare initiatives, initiatives such as fare options and our new co-brand card, we will now provide monthly reporting and forward-looking guidance on the broader unit measure RASM, instead of on passenger RASM. For your convenience, our investor updates include historical quarterly RASM and PRASM since the first quarter of 2014. And with that I’ll turn the call over to Mark to provide further details on our results.
Mark D. Powers: Thanks, Marty and Robin, and good morning everyone. Thank you for joining us today. This morning we reported fourth quarter operating income of $330 million and full year annual operating income of $1.2 billion. This represents a 95% increase in the fourth quarter and is more than double last year’s full year result. Pretax income for the quarter was $303 million. For the full year pretax income was $1.1 billion. Pretax margins for the quarter was 19%, an improvement of more than 9 percentage points. With respect to revenue, total revenue grew 10.2% in the quarter on capacity growth of 10.4%. For the full year on capacity growth of 9.5%, total revenue grew 10.3%. Yield decreased 3.6% in the quarter, while load factor improved 1.5 percentage points. For the full year yield was flat while load factor improved 0.7 percentage points. As to costs; we are very pleased with our cost performance. Excluding fuel and profit sharing, year-over-year unit costs increased 0.7% in the quarter, that’s below the mid-point of our October quarterly guidance range of 0% to 2%. For the full year unit costs, again excluding fuel and profit sharing, increased 0.5%, also consistent with our revised guidance range as 0% to 1% and for the lower end of our initial annual guidance of 0% to 2%. Turning to fuel, the continued drop in fuel prices has obvious positive implications for our fuel expense. In the fourth quarter 14% of our fuel consumption was hedged using jet fuel swaps and colors. Including the impact of fuel hedging and taxes, our fuel price in the fourth quarter was $1.68, which is down 38% from last year's per gallon price of $2.70. Looking ahead we have no fuel hedges in place for first half of 2016. For the second half of the year we have hedged 10% of our expected consumption based on the forward curve as of January 15, we expect our first quarter fuel price per gallon including impact of taxes to be approximately $1.12. More specific details regarding our hedged positions are included in our investor update which was filed earlier today. Our percentage quarterly and full year pretax margin growth is the highest of any U.S. carrier. We are therefore thrilled our crew members will be rewarded with the largest profit sharing payout in our history. In 2015 total profit sharing was approximately 150 million. Of this amount recall we paid approximately 50 million to our crew members in November. The remaining balance will be paid later in the first quarter 2016. Moving to the balance sheet, we ended the quarter with $876 million in cash and short-term investments. During the fourth quarter, we made scheduled debt and capital lease payments of $90 million which brings the full year 2015 debt payments to 390 million. In addition JetBlue bought out the leases on six A320 aircraft for a total of 110 million, driving future annual rent expense savings of 12 million and mitigating future return condition expense. We continued to prioritize our cash use to strengthen our balance sheet. Over the last 12 months, we reduced net debt by over $560 million, driving a significant improvement in our net debt to EBITDA ratio, which is down from 2.5 times at year end 2014 to 1.1 times at year end 2015. Looking ahead we expect to pay regularly scheduled debt payments in the first quarter of 51 million and full year 2016 of 454 million. The full year increase when compared to 2015 is driven of 260 million of scheduled debt payments is driven by the final maturity of our double EPC debt issued in 2014 with scheduled balloon payments of over 200 million. Upon this final payment an additional 50 aircraft will become free of any incumbencies. Year end 2015 are free and clear fleet numbered 61 aircraft. In connection with its previously announced 2012 share repurchase program JetBlue purchased 3 million shares from October 30, 2015 through year end 2015 for approximately 77 million. For the full year 2015 JetBlue repurchased 9.8 million shares for approximately 227 million. Given debt maturity schedule for 2016 we plan to continue to focus cash deployment on balance sheet improvements this year. We will of course assess opportunities for additional capital returns thereafter and update you on our plans for the end of 2016. As Robin mentioned our year end after tax return on invested capital was 13.7%. This was up year-over-year by more than 7 percentage points and well in excess of our cost to capital. Although we are exceeding our ROIC target from the Investor Day 2014 of 10%, we recognize fuel savings has been a significant tail wind. We will continue to work aggressively on executing ROIC accretive initiatives including structural programs such as cabin restyling. With respect to CAPEX in our fleet, JetBlue ended the year with 215 aircrafts including 138 320s, 60 E190s, and 25 A321s. We purchased four A321 aircrafts in the fourth quarter with cash. In 2016 we expect to take delivery of 10 A321s including three in the first quarter. Given the strength of our cash from operations, the current presumption again is that we will continue to pay cash for all of our 2016 deliveries. In order to support our Mint expansion plans in New York and Boston we’ve converted an additionally A321 delivery scheduled for 2016 from the all core configuration to Mint. We now expect six of the A321 deliveries in 2016 to arrive in the Mint configuration. In the first quarter 2016, we project total CAPEX between 230 million and 240 million of which approximately 190 relates to aircraft. For full year 2016 we expect non-aircraft CAPEX of 150 million to 200 million. We expect total capital expenditures in 2016 of approximately 820 million to 920 million. Turning to capacity, winter storm Jonas caused the cancellation of over 900 flights this past week. Like Robin I’d like to highlight our ability to recover quickly and resume normal operations. While we have not yet determined the exact financial impact of the storm, you should expect its P&L impact will be deminimus. Unless noted otherwise all of the guidance provided on this call and in our investor update issued today excludes the impact of Jonas. We plan to give you an update on Jonas’s impact with our January traffic release in a couple of weeks. We expect capacity growth of 14% and 16% in the first quarter of 2016 and 8.5% to 10.5% for the full year with the midpoint consistent with prior high single-digit growth guidance. Leap year of course is rising by 1 percentage point of this growth in the first quarter. Additionally cancellations due to severe weather in 2015 increase [ph] our capacity growth well as it is scheduled versus scheduled basis by about 2.5% in the first quarter and 0.5% for the full year. Looking at our capacity plans geographically we expect the highest growth rate in Fort Lauderdale. In New York JFK where we operate in a slight constrained environment we expect our growth will be driven by upguaging of our fleet as more A321s join the fleet and we offer additional Mint frequencies. Turning to the revenue outlook, year-over-year comparisons for January and February are very noisy. Recall severe winter weather affected mostly off peak days in the first quarter 2015 driving a rising benefit of several percentage points in January and February while reducing our capacity growth for the whole first quarter of 2015, by about 2.5% Prior to winter storm Jonas, January RASM was expected to decrease roughly 5% year-over-year. Now while we are still working to the final impact, we would expect RASM in January to be positively impacted by approximately 2 points as a result of the storm. Again this guidance relates to RASM rather than PRASM. I’d also like to comment on the impact of holiday timing this quarter. Easter falls in March this year compared to April of last year. However the positive impact of this shift to March will be somewhat muted by the timing of school breaks with many vacation breaks remaining in April. Such was the case with most of the schools in our New York and Boston Focus Cities. Moving to costs, in the first quarter we expect a year-over-year change in CASM excluding profit, fuel and profit turning to be flat to negative 2%. Looking at full year 2016 we expect CASM ex-fuel and profit sharing to grow between 0% and 2%. While this is in line with our cost discussion during our 2014 Investor Day, we are and will be working to bring this number in at the lower end of that range similar to our cost efforts in 2015. In closing we are very pleased fourth quarter and our full year 2015 results. Our crew members remain actively engaged and we are excited to keep executing on our long-term strategy. With that operator Robin, Marty, and I are happy to take questions please.
Operator: Thank you. We will now begin the question-and-answer session for investors and analysts. [Operator Instructions]. Our first question comes from Savi Syth of Raymond James.
Savanthi Syth: Question was on those fare options could you provide a little bit more color on kind of what's been achieved so we have an understanding of maybe what you're thinking the incremental contribution could be in 2016?
Robin Hayes: Yes, good morning, Savi. I’ll ask Marty to answer that.
Marty St. George: Yes. Thanks, Savi. I mean other than the guidance we gave on achieving our $200 million run rate early than we expected, I don’t have a significant additional color to add other than what we added on the call. Fundamentally we had originally done a forecast as far as what we expected. The average revenue we’d get from each customer and then the number of percentage of customers checking bags, and we have revised our guidance up. So you can do your own math as far as how that happened, but I can’t give you more guidance than that.
Savanthi Syth: Thank you. And just a question on Mint, bear with me, when Mint was first announced there seemed to be a kind of a very unique Trans Con opportunity to kind of address the high paid load factor in those markets and also maybe if you just looked at where maybe some of the competitors are possibly using the strength in the premium cabins, you’re going to discount the main cabins. So I got that and then the kind of the extension to Boston made sense, given the similar probably type of passenger. But now you're starting to see more leisure markets not just seasonally like year round getting it, are you coming to the realization maybe that kind of your customer base would maybe need a little premium cabin? I know one of your competitors has a kind of small premium cabin and just wondering, and as you kind of roll out more and more Mint aircrafts, you're also increasing the complexity of the fleet and the product and just would like your kind of latest thinking on Mint?
Robin Hayes: Sure. Thanks, Savi, and let me answer than and maybe if Marty has any kind of additional comments. Look I think, we -– what we -– when we set out to create a Mint, the idea was to offer better product at a lower price and I think we've been extremely successful in doing that. Our paid load factors in these cabins are something we're absolutely delighted about and I think the strength of response we've had from our current customers and also the ability to attract new customers, I think has really given us a lot of excitement about the sort of size of the opportunity with Mint. We've no news to announce beyond what we've announced already but the Caribbean opportunity, now it was very -– markets like Aruba and particularly Barbados, they’re very premium markets and the ability to attract high-fare paying customers who are willing to pay a higher fare for a different type of experience and certainly better than any of the other airlines offering today, I think we've been pleased with that. I think we do a good job of isolating the complexity, we're conscious about the output and I think really happy with the way Mint is performing.
Marty St. George: And Savi, one thing I want to add, this is Marty again, and I think we've -– I can’t stress this enough, we're very bullish on the A321, we've a lot of A321s coming, and every time we add a plane to the Mint fleet, it’s actually one fewer all-core A321s that we take. And we find the all-core A321 to also be a very important part of our network strategy plan, specifically in New York where we are flight constrained. I mean if our goal is to continue to keep fares low and continue to satisfy all the demand we see in New York, the A321 is actually very important. So although it’s very attractive to take A321s in at the mid configuration, there is a cost to that. So we're constantly balancing that as we make the choice between taking the all-core 321s and the mixed-cabin 321s.
Savanthi Syth: That is good to hear, alright, thank you.
Operator: Our next question comes from Darryl Genovesi of UBS.
Darryl Genovesi: Hi guys, thanks for the time. So maybe first on the A320 cabin retrofit program, some carriers that have added seats to their aircrafts through similar retrofit programs historically at times have had a little trouble with scheduling as the retrofit airplanes came back into the fleet, which created a little bit of a unit revenue headwind for the first few quarters of the program. Have you thought through that? Is that something that could be an issue for you too as the A320s ultimately come back?
Marty St. George: Hi, Darryl. Thanks, its Marty again. Listen, every large project has many, many moving parts to it. I am very comfortable with the quality of the team we have here to manage that process and although we’ll certainly work through our contingency plans for it, we are not losing a lot of sleep on that. Second issue is, well it’s a little bit unique for our situation is that we are actually going from three in-flight crew members to four in-flight crew members on the A321 that comes in. So interestingly enough the challenge of putting the fourth in-flight crew member on there actually gives us a little more comfort as far as how to manage the revenue side of it. So we are very comfortable with the plan I just laid out and we have no change to our guidance on the incremental up income benefit from cabin restyle.
Darryl Genovesi: Okay, thanks for that and then I guess Mark it looks like the share repurchase was a little bit bigger than we’d expected. I mean just wondering, it sounded like last time we talked about this it sounded like most -- that you were thinking about 2017 as the year when you would do work on a meaningful share repurchase program, can you throw us some updates out there?
Mark D. Powers: Yes sure, don’t read too much into it. The share repurchase program to-date is really consistent with I believe was a discussion at Investor Day in 2014 where we are basically trying to neutralize our shares issued to crew members and so the amount of the share repurchasing is largely driven by that. There may have been a little bit of catch up between this year from the prior year so that’s kind of perhaps why you saw few more shares this year than in prior years. But again as we go forward we will still continue to look at purchasing shares essentially equivalent to the estimated RSU and other crew related grants. And as I think I indicated in my comments we have a fair amount of scheduled debt payments this year so it is really just not appropriate at this point in time to engage in the big discussion on accelerating that share repurchase program.
Darryl Genovesi: Alright, great. Thanks very much guys.
Robin Hayes: Thanks buddy.
Operator: Our next question comes from Michael Linenberg of Deutsche Bank.
Michael Linenberg: Yes, actually two questions here, just when I look at your cost guidance for the year and you can see sort of it starts out where you have declines and then those moderate to what looks like unit cost fuel increases by year end, is that just all in line with the movement in capacity or is there anything timing, maybe maintenance wise or anything else that drives it a little bit higher than the latter part of the year.
Robin Hayes: No, hi Michael. It’s largely driven by the denominator. Just to say lot of ASMs happen in the first quarter. There is not a big bubble extraordinary bubble that we are projecting of one or two single cost items this year.
Michael Linenberg: Okay great and then just the second question this is probably for Marty, just on some of the headlines that we are reading about Zica, I am just curious if you are seeing any sort of like noticeable decline in bookings to Latin or Caribbean markets, anything on that front would be fine? Thanks.
Marty St. George: Hi Michael, thank you. First of all from when the news first came out about Zica we were watching it very closely. We do have a waiver in effect for our customers who may choose a change of plans but to be clear we’ve really seen no measurable impact either to event bookings or customer refunds. Obviously we are going to watch it very closely. We are already having conversations about if we need to do some redeployment of ASMs and the margins what we would do. And obviously it is something that we are going to pay attention towards our footprint in Latin America.
Michael Linenberg: Marty on the point about re-deployable ASMs. I mean I know earlier you did mention that I think you were going to see probably the highest growth rate at Fort Lauderdale this year, how quickly can you adjust. I mean some airlines can tell you that they can do a significant adjustment of the schedule a month out, some will tell you that they can't change the schedule for six or nine months, I mean what's -- how nimble can you be?
Marty St. George: You know Michael I think, look we are still a small company, we consider ourselves very nimble. I think all 18,000 of us are successful because when we want to make changes quickly I think the most important thing for us is to get ahead of it and have plans laid out. So we are certainly not in the six to nine months time horizon at all.
Michael Linenberg: Great, thanks Marty.
Operator: Our next question comes from the line of Duane Pfennigwerth, Evercore ISI.
Duane Pfennigwerth: Hey thanks, good morning. Can you just help us with sort of how you view the comps for the rest of the quarter and if there's any way to sort of back into PRASM for January from this guidance? I'm just wondering how we should think about the trajectory for February and March relative to this down three that you’ve given us for January?
Marty St. George: Hi, Duane, thanks. It is Marty again. Listen, first of all we have actually moved over to RASM guidance, I think based on feedback we've gotten from the investor community. So I really can’t give RASM and PRASM guidance going forward. The one color I can give you, which I think will be useful, is just to remind you of -– remind everybody, excuse me, of what happened in 2015. We did go through a long series of storms both in New York and in Boston over the first quarter. Last year we had about a two-point tailwind from the ASM reductions and the customer re-accommodation during the January storms and actually went up to a three-point tailwind for February, because as you know up in Boston they had, I don’t know, 600 inches of snow or whatever the hell it was, 100 something inches. It was a very, very big period and obviously it’s the biggest tailwind in Boston. You think about specifically that was in New York and Boston-specific winter. I think that did impact us just disproportionately. Mark did give some guidance as far as what happened in January of 2016. We’ll see what happens in February but clearly I think weighing out those tailwinds in last year could be helpful. By the time March came it was less than a point. I think it was actually a half a point, but obviously this year in March we've got holiday moves too. So I think back to the point that Mark made in the script, it is a very, very noisy first quarter.
Duane Pfennigwerth: So sorry to pester here but would you say that, of course it’ll depend upon if we get more weather going forward, but would you say that January is likely to be the worst bent of the quarter and March should be the best or any color like that?
Marty St. George: I -– we generally haven’t given guidance more than the specifics we've -– that I laid out earlier. So I don’t really want to break that tradition now.
Duane Pfennigwerth: Okay.
Marty St. George: I – it’d certainly be worth following up with Kevin Crissey after the call as well, try to get more color. I mean we’d like to give as much as we can without changing how we guide normally.
Duane Pfennigwerth: Okay. I think in the past you actually have given sort of directional color on the months but maybe I'm mistaken. Thanks for taking the questions.
Operator: Our next question comes from Jamie Baker of JP Morgan.
Jamie Baker: Hey, good morning everybody. The 900 cancelled flights aren’t necessarily relevant in the quarter unless that’s all that you budgeted for and we have another storm. So generally speaking is there a rebel of quarterly IROPS that your –- just share cancellations that you budgeted for that you can share us with – share with us, that way we can assess the impact of any incremental weather?
Mark D. Powers: I’ll take it on the CASM side and if Marty or Robin want to comment on revenue but on the CASM side for sure the full year guidance that we've provided of 0 to 2 also incorporates essentially a recognition that we do live in a fairly weather driven environment here in New York, Boston. And so for sure a little bit of what's in there without breaking it down by a percent is embedded in our cost guidance full year.
Jamie Baker: As it relates to the quarter though, could you put the 900 in perspective? I mean does that use up a 100% of your budget or is that sort of half of the typical weather disruption that you plan for?
Mark D. Powers: No, I the -– when we release our traffic in a couple of weeks, Jamie, we’ll actually…
Jamie Baker: Okay.
Mark D. Powers: We’ll have a little bit better breakout of sort of the -– I've given you an indication of RASM in P&L and the last sort of thing that comes in frankly is the ability to provide accurate guidance or indication of what happened on CASM.
Jamie Baker: Sure. Second question, the industry wage bar for aviators is rising at a much faster annual clip than when your pilots first voted to unionize and whether -– I'm curious whether there’s sort of haste in management’s resolve to get something done sooner rather than later or if we should just assume that your mark-to-market is a -– I don’t know, give or take a 2018 event also for new hires. What's -– new pilot hires, what's the estimated time before one achieves a captaincy? I'm just curious, how that’s changed overtime because it doesn’t seem like it would quite be the carrot that you use to be able to dangle in front of new hires in hopes of maintaining a below industry average pay scale?
Robin Hayes: Thanks Jamie, good morning. It's Robin and I’ll take that. I mean I think in terms of the question about the sort of pilot compensation, we had the last conversation adjustment in January this year which is already embedded in our guidance which relates to the sort of a three year agreement we put in place -- bringing of ALPA. Negotiations are underway with ALPA. I think both sides are engaged in a very constructive way, our pilots are very important to us. But as you know it takes time so, we haven't put anything in full 2016 additional accrual for 2016 assuming a contract this year. We think it will be 2017 at the earliest if not on before we see a final agreement.
Jamie Baker: And the transition [indiscernible]?
Robin Hayes: You know it depends on the aircraft type, etc. Looking at sort of at the moment four to six years is the average.
Jamie Baker: Okay, thank you very much gentlemen.
Robin Hayes: Thank you.
Operator: Our next question comes from Helane Becker of Cowen.
Helane Becker: Thanks very much operator. Hi everybody, thank you very much for your time. Just a couple of questions with respect to the fourth quarter specifically sales and marketing expenses up quite a lot year-over-year and I am just wondering if that’s a trend that we should expect to continue and that was my first question?
Marty St. George: Hi Helane, thanks. It’s Marty. That was not a trend we expecting to continue. Obviously with the increased revenue, increased credit card fees that’s generally sort of a lumpy expense but there is nothing dramatic happening that you should look at that as a long-term trend.
Helane Becker: Okay and then my other question was actually with respect to the maintenance cost. So, now they are much less than they had been and that’s another question that I was thinking about especially relative to the rest of the year, right, so is that our new level of how we should think about it?
Mark D. Powers: Yes, it's actually delight on this call I mean not to have to actually single out in a cost discussion maintenance expense. Credit really to a lot of peoples in the team actively addressing power by the air agreements and that sort of thing as well as relates to the whole sort of type workflows are structured. So it will still be lumpy because it ages in parts -- airplanes and parts age at different times but and I don’t want to overstate it but it doesn’t seem to be the theme of 2015.
Helane Becker: Right, very good. Thank you very much. Those were really my questions.
Operator: Our next question comes from Hunter Keay of Wolfe Research. Please go ahead Hunter?
Hunter Keay: Sorry mute. Good morning, Marty can you talk about the 2016 ASM growth in the context of stage gauge and new markets and maybe in the new markets you are going to add can you give us a sense of just at a high level about the competitive dynamics, are the new markets going to be added because they are un-served or because they are overpriced, generally?
Marty St. George: Hi Hunter, good morning, let me take that in pieces. With respect to 2016 ASM growth. I guess we’ve reached over first quarter. The majority of the ASM growth, one majority is coming from aircraft deliveries. There is a slight increase in stage. Obviously a significant -- a measurable increase and not forecast to completion just because first quarter 2015 was so tough. And a slight increase in utilization. With respect to how we look at our opportunities for growth, we have talked about this in Investor Day, we’ve talked about it in many opportunities to as we are -- for this driving the future passage up. We have a long term network plan for all six of our Focus Cities. I don’t think any -– we don’t view any of them as anywhere near before they played out and we're very keen to follow that plan. I mean our growth rate has been in this – the range that we're in right now is very similar to the rate we've been over the last several years, because we are -– with a little end of it could on stuff like this. We’re just going to keep growing with our plan, we have a great pathway laid out as far as where we want to grow. Sometimes those might get hit by fares, sometimes they have bad service, sometimes they’re just markets that we have large corporate customers in a place like Boston, that really want us to fly to and can guarantee it’s a good amount of revenue. I wouldn’t say there's one formula that fits all.
Hunter Keay: Okay. Can you may be just maybe I’ll take it up a level, I mean, how much of the nine and half percentage points are gauge and stage versus where we are still at?
Robin Hayes: The – I mean I think stage brings overall issues off about 1%. With respect to gauge all of our airplanes are coming at 321s, although half of them are coming in at the mid-configuration. So I’ll -- we will get back to you. I’ll have a -– we’ll give them to Kevin and get back to you after the call. I don’t want to misquote.
Hunter Keay: But, and then maybe also, Marty, can you talk about maybe some fare pressures you might be seeing particularly on the East Coast, some of the north south stuff as some of the larger airlines get a little more aggressive selling connecting fares. Have you seen a lot of that recently sort of pickup of over the last couple of quarters, competing against connecting traffic?
Robin Hayes: Yes…
Hunter Keay: Go ahead, sorry…
Marty St. George: That’s a great question. And honestly we've not really seen that, that much. I mean we have been competing against other low fare carriers all along. Certainly looking for a lot of that we’re competing with Spirit from the day we started growing that operation. We're very happy with what we're seeing in first quarter bookings right now and from a -– I just don’t -– I read the commentary about these, what's happening up there in fares and certainly we're impacted a little bit. But one thing that’s a little bit different about JetBlue and it’s something I think we don’t stress enough is, we really don’t carry connecting customers to any big number. I mean, I think we said publicly its very low key as far as total connecting customers for domestic it’s in the single digits. I mean, other than international we don’t carry a lot of connecting customers. This is the benefit of having our six Focus Cities actually being large metropolitan areas. We can create demand by stimulating. And again into leisure airlines, we're playing in the more elastic part of the demand curve. So from that perspective, we sort of feel like we do our own thing. We know we like our structure to be in the market, we like structures that allow as many customers to fly as possible and we haven’t really been -– we haven’t really felt any dramatic impact like we're reading some of the airline has talked about.
Hunter Keay: Thanks, Marty.
Operator: Our next question comes from David Fintzen of Barclays.
David Fintzen: Good morning, everyone. Question, I guess for Marty I think Mark, you may have mentioned or Marty you mentioned that Easter would be more muted in terms of a shift. Can you just put some numbers around that?
Marty St. George: Hi, Dave. I can’t put specific numbers around it but the one thing I will say is back to the point that Mark made in the script, it’s a very lumpy first quarter and I will only extend that into second quarter. Only in that -– yes, Easter’s mostly moved into March. We’ve actually had Passover stay in April and New York school holidays also in April. So I think the first four months of the year are going to be pretty lumpy for that exact reason because it’s going to be a different -– sort of a different profiler demand. In general again, we are doing this many years, this is a type of demand profile that I think plays very well with JetBlue. The thought of having Easter and Passover not being at the same time is generally very, very good for us. The New York school holidays moved to April is very good for us. So again, we're happy of what we're seeing at events bookings for the first four months.
David Fintzen: Okay. But just -– I mean just to help us sort of play through the months, when you say muted does that mean we really shouldn’t be thinking about much of any sort of shift between March and April or is that typically like, I think historically it’s what 2% to 3%, I mean should we be thinking half that? I'm just -– just from a pure arithmetic standpoint is there anything you can help with?
Marty St. George: Yes, I – honestly I don’t want to get too deep into any -– into sort of getting in more detail than we have already. And honestly, just as a reminder we've talked about this before as well. We play relatively close in on the booking curve versus some of the legacy competitors. So from that perspective we know historically what happens when Easter and Passover shift but we're not taking a ton of bookings right now.
David Fintzen: Okay. Alright, no, that’s helpful. Mark, just given the kind of free cash flow you are now generating and with sort of the debt repayments that are coming up, can you talk a little bit about kind of what’s sort of the ideal net debt balance that you’d like to get to eventually? I mean how do we think about how far you want to go with balance sheet even if it’s not 2016, just over the next few years?
Mark D. Powers: I can tell you we are not or I want to be quite be yet, although I will also tell you I don’t wake up in the morning dying to be investment grade.
David Fintzen: Okay.
Mark D. Powers: Honestly, no, I mean honestly I don’t really note the benefit of that is because of the risk or it will finance anyway. But, so I would certainly simply say that, that doesn’t seem to be the target that I wake up thinking about nor does like to think about it. But I think we still have this year obviously a lot of scheduled debt payments and so that’s really a great place for our free cash flow right now, and as part of the capital allocation discussions that we think we all have towards the end of this year.
David Fintzen: Okay, alright. Appreciate the color. Thanks.
Operator: Our next question comes from the line of Rajeev Lalwani from Morgan Stanley.
Rajeev Lalwani: Hi gentlemen, just a question on the RASM guide. What's the impact of the credit card there and then also how much is competitive, how much are competitive dynamics coming into play as far as what you're guiding to in January and just your commentary at the rest of the quarter?
Marty St. George: Hi Rajeev, it's Marty. First of all, on the credit card, other than the guidance we've given for the long-term operating income benefit we don’t break anything out beyond that. Although, -– this is one of the reasons why did go to a RASM guide versus PRASM so that you hopefully get a better full picture of the revenue picture for JetBlue. And could you repeat the second question again? I want to make sure I have that right.
Rajeev Lalwani: Yes, just some of the noise and weakness you're seeing, how much of that is attributable to say competitive dynamics and competitive capacity as opposed to what you were describing in terms of calendar-type dynamics and storm stuff from last year?
Marty St. George: Yes, I mean well, first of all, I'm not sure I’d use the word weakness to tell you the truth. We're not like a legacy airline and that we're always looking to try to get our fares up and up and up. I mean we've talked about historically what's happened on our Mint product. We didn’t -– we haven’t given a number as far as demand but I think if you were to look on jetblue.com and look at how quickly Mint builds up, we tend to be very full. But we're still not out there saying I'm going to go back to this $2,000 price point that our legacy competitors used to do in the past. We're still a low fare airline, so I don’t look at any pressure on fares as a bad thing. We like to have low fares. That’s an important part of what JetBlue stands for. So from that perspective I am not sure I would agree, I am not sure I will call it I am seeing weakness. I think it was very comfortable with what we are seeing is stronger demand right now. We would expect what the competitive dynamic is. Competitive dynamics come and go. I think if you look at how ASMs and unit revenue has ebbed and flowed just both JetBlue and for the industry, we really view this as playing the long game. I mean we are very comfortable with what we are seeing right now.
Kevin Crissey: Rajeev this is Kevin. Was you first question on that credit -- the new credit card impact on our RASM guidance?
Rajeev Lalwani: Correct, just whether or not -- it was showing…?
Kevin Crissey: Yes, that is what I thought. It wouldn’t have a real impact as the new credit card has in our guidance for January and the new credit card is not really impact -- not there yet. So, that is a question for maybe next call.
Rajeev Lalwani: Yes, that is why I was asking. Thank you gentlemen.
Operator: Our next question comes from Julie Yates of Credit Suisse.
Julie Yates: Good morning, thanks for taking my question. On other revenue clearly exceeded expectations, are you able to maybe parse out what the underlying growth and even more was just to help us think about the actual outperformance from fare options?
Marty St. George: Hi Julie, it is Marty. Thanks for asking for that but no. We have actually combined the other revenue. There is a lot of things with the other revenue. We have talked before about how it continues to grow even more as we have more customers purchase the product and also our yield-to-yield management. But we haven’t given any more guidance besides that. I will like to give a reminder that even more actually it has always been in PRASM guidance, so the move to RASM doesn’t really impact that.
Julie Yates: Okay, got you. And then now that you are charging for bags with fare options is there more of a priority for load factor versus yield in order to capture that incremental fee revenue?
Marty St. George: Honestly, we don’t look at it that way. I mean our view of the world is a good percentage of our customers don’t check baggage at all. Many of those customers are actually getting a discount with how fast things move around since we have added in fare options. And our view is we still view this is giving customers choices. We have seen, I go back to the point we made earlier in the script which was we had forecasted changes in behavior for customers. We have now guided up versus what we see the benefit of fare options and I think fare options has been accretive in many ways and actually has been -- has not had -- it has not had a dramatic change, or the change we had expected as far as customer behavior. So we look at it as a win overall. We have never been a load factor biased airline even as a low cost carrier. I think part of that is back to the stuff that we mentioned earlier. We are not out there trying to fill low yield connecting for Lauderdale because that is not really our model. We are still focused on [indiscernible] with customers and trying to simulate the fares.
Julie Yates: Okay, understood. And then is there any change or update you can give us in terms of how you are thinking about dynamically pricing fare options?
Marty St. George: Yes I have no update versus what we’ve talked about earlier. When we originally announced our options we said that we -- our hope is to make sure that part of building in the way we built it is that we would have that option ultimately. We do feel like that, we built the structure for that but we can't really go into any details about the future plans for that.
Julie Yates: Okay and then just one last one for Mark, has there been any change in hedging tactics or strategy so you added some for the second half of the year?
Mark D. Powers: No, not at all. I mean our general guideline again it’s a great long term way to manage risk and as fuel was dropping to the 40s we decided to layer in a small bit for the third and fourth quarter. So we will continue to use it as a tool to manage risk.
Julie Yates: Okay, thank you very much.
Operator: Our next question comes from Andrew Didora of Bank of America.
Andrew Didora: Hi, good morning everyone. First I just wanted to ask questions with regards to Boston. I guess when we look at your -- a lot of your key markets Boston is the one that stands out in terms of having some higher capacity growth heading into 2016 relative to last year. And based on what we’ve been able to see it doesn’t seem like its coming from any one particular carrier. Can you maybe talk about the competitive environment you are seeing in Boston and maybe what you saw from a pricing perspective in 4Q?
Marty St. George: Hi Andrew, thanks. Again I think a competitiveness come and go. I don’t think we look at anything dramatic happening in Boston. We are the biggest airline up there. We’ve got our courage of the Boston market has more than doubled over the last five or six years. We certainly watch as ASMs come and go. Our goal is to make sure that we are providing ASMs to make sure we keep fares well and serve as many customers as possible. So it’s a matter we are growing in as well.
Andrew Didora: Okay and then I know in Europe the investor update you gave RASM by quarter in 2015, any chance where you can get the RASM by months for 1Q 2015 just so we can compare going forward.
Marty St. George: No sorry we can’t do that.
Andrew Didora: Okay, thank you.
Operator: Our final question comes from the line of Joseph DeNardi from Stifel.
Joseph DeNardi: Thanks, good morning. Marty I am wondering if you could just provide a breakdown of your ASM growth this year domestic versus international.
Marty St. George: Let me flip through it quickly if we don’t get it quickly, but we can follow up after the call and get you the exact data.
Joseph DeNardi: Okay and then Mark sorry go ahead. Just based on kind of what you are planning for debt payments throughout the year, is there any way you could help us just kind of think about what interest expense could look like by the end of the year, just based on what you have planned right now?
Mark D. Powers: That maybe something I probably best get back to you as well.
Joseph DeNardi: Okay -- for two.
Mark D. Powers: Yes, if you don’t mind.
Joseph DeNardi: Thanks.
Mark D. Powers: Thank you.
Marty St. George: Thanks, there is no more questions. Thanks everybody for joining us and we look forward to talking to you soon. And have a great day. Thanks.
Operator: And again, that will conclude today's conference. Thank you all for your participation.